Operator: Good day, everyone, and welcome to the PBF Energy Second Quarter 2024 Earnings Conference Call and Webcast. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following management's prepared remarks. [Operator Instructions] Please note that this conference is being recorded. It is now my pleasure to turn the floor over to Colin Murray of Investor Relations. Sir, you may begin.
Colin Murray: Thank you, Savannah. Good morning and welcome to today's call. With me today are Matt Lucey, our President and CEO; Karen Davis, our CFO, and several other members of our management team. Copies of today's earnings release and our 10-Q filing, including supplemental information are available on our website. Before getting started, I’d like to direct your attention to the Safe Harbor statement contained in today’s press release. Statements in our press release and those made on this call that express the company’s or management’s expectations or predictions of the future are forward-looking statements intended to be covered by the Safe Harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we describe in our filings with the SEC. Consistent with our prior periods, we will discuss our results today, excluding special items, which are further described in today’s press release. Also included in today's press release is further guidance information related to our expectations for third quarter 2024 throughput. For any questions on these items or follow up questions, please contact Investor Relations after today's call. For reconciliations of any non-GAAP measures mentioned on today's call, please refer to the supplemental tables provided in the press release. I'll now turn the call over to Matt Lucey.
Matt Lucey: Thank you, Colin. Good morning, everyone, and thank you for joining the call. As we mentioned in our press release, while earnings for the quarter were a disappointment, we were able to maintain our strong cash position coming out of the quarter. As backdrop, second quarter market conditions represent a bit of a break from typical seasonal patterns, with RIN adjusted crack spreads declining almost $10 a barrel from the beginning of the quarter to the end. We also saw tightening crude diffs and headwinds on the co-product side. Earlier in the quarter, we completed maintenance in the East Coast and Mid-Con. However, each of these efforts extended past our original plans, primarily to increase scope, which was discovered during the turnarounds. Unfortunately, the extended work overlapped with the highest product margin periods early in the quarter. Additionally, we performed a planned turnaround of the Martinez hydrocracker from early May through the end of the quarter. A consequence of our extended turnaround activity on the East Coast and the Mid-Con was a decrease in the high value product yield and inventory builds during the early part of the quarter. This resulted in decreased realized margins for the quarter as the feedstock builds were subsequently consumed, as operations improved and products were sold into the weaker market. Again, despite the disappointing earnings, we were able to maintain our strong cash position through the quarter by reducing the elevated working capital position to normalized levels by the end of the quarter. We are pleased that all this is behind us. Our assets are running well today. Looking ahead, we have completed the majority of our planned maintenance for the year and our last turnaround is expected to commence in the fall at Chalmette, safe, reliable operations of all our assets remains our primary focus. Building on that foundation, we continue to prioritize capital allocation toward the opportunities that promote the greatest long-term shareholder value. We continue to demonstrate our commitment to returning cash to shareholders with approximately $100 million of share repurchases in the second quarter. In addition, our Board of Directors approved the payment of our quarterly dividend of $0.25 per share. Longer term, we remain constructive on the global refining market. Global capacity, including the new additions and refined product demand remain tightly balanced. In the immediate term, demand looks okay, nothing spectacular nor terrible but importantly, we are seeing utilization across the sector come off its highs and as a result both crude differentials and cracks are now improving. With that, I'll turn it over to Karen.
Karen Davis: Thanks, Matt and good morning. For the second quarter, we reported an adjusted net loss of $0.54 per share and adjusted EBITDA of $94.8 million. As Matt stated, our results did not meet our expectations. We estimate the impact of the extended turnaround activity to be in the $150 million range with approximately $100 million of the lost opportunity associated with operations and $50 million related to the sale of inventory builds into the weaker late quarter cash markets. Earnings per share included a $0.02 per share impact related to an increase in our effective tax rate to approximately 28%, primarily due to the tax deduction for employee compensation related to stock options exercised during the quarter. We expect our effective tax rate to return to the normalized range of 24% to 26%. Also included in our results is a $10 million loss related to PBF's equity investment in St. Bernard Renewables. This is after adding back our share of SBR's lower-of-cost-or-market adjustment. Standalone EBITDA for SBR, net of the LCM adjustment was a loss of approximately $3 million for the quarter. SBR produced an average of 16,500 barrels per day of renewable diesel in the second quarter. In the third quarter, production is expected to be approximately 12,500 barrels per day, which reflects a planned catalyst change which began in late July and will be completed in late August. Cash flow from operations for the quarter was approximately $425 million, including a working capital benefit of approximately $300 million, primarily related to the normalization of our hydrocarbon net payable position following our turnaround activities during the first and second quarters. Consolidated CapEx for the second quarter was approximately $333 million, which includes refining, corporate and logistics. Full year 2024 CapEx is likely to be near the top end of our previously provided guidance range, or approximately $850 million. Through share repurchases and our dividend, we continue to demonstrate our commitment to shareholder returns by delivering approximately $130 million to shareholders in the second quarter. Since our repurchase program was introduced in December of 2022, through the end of the second quarter, we have completed approximately $914 million in share repurchases. This represents over 16% of our outstanding shares at the beginning of the program. We've reduced our total share count to approximately 117 million shares as of June 30. We ended the quarter with approximately $1.4 billion in cash and approximately $1.3 billion of debt. Also of note, the final payment of the Martinez earn-out of $18.8 million was made during the quarter. Maintaining our firm financial footing and strong balance sheet remain priorities. To the extent, our operations generate cash beyond the needs of the business and the requirements to continuously invest in our assets, a greater percentage of that cash should be available for shareholder return. Sustainable dividends and share repurchases are important components of our overall long-term capital allocation and shareholder return objectives. As always, we will look at all opportunities to allocate capital through the lens that directs cash to the option that generates the greatest long-term value for our shareholders. Operator, we've completed our opening remarks and we'd be pleased to take questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Roger Read with Wells Fargo. Please go ahead.
Roger Read: Thank you. Good morning.
Matt Lucey: Good morning.
Roger Read: Yes, let's come back on the share repo performance pretty impressive to-date. Your comments about potentially an increasing percentage of cash, it'll be available. What's the right way for us to think about CapEx? Let's say, the $850 million that you indicated for this year is kind of the right number going forward and any other obligations you may have, because we know over time you've had sort of the environmental issues as well as CapEx and SBR build out, et cetera.
Matt Lucey: Yes, I think that the CapEx number, there will all be bits involved year-to-year, but the CapEx numbers that you cited is probably right. And I don't see any other pulls on cash that are extraordinary or above and beyond. And then we intend to generate significant amount of cash from earnings and after paying CapEx interest and taxes, and we're going to allocate that in the most shareholder friendly way we can. Obviously, we're developing projects and we're committed to return cash to shareholders.
Roger Read: And then the dividend is part of that framework. Should we think of that as fairly steady here or something you'd want to grow over time?
Matt Lucey: Well, we grew it, this past year, we reinstated it two years ago in the fall. And so what we've said is we'll look at the dividend more on an annual basis. And so it’s at $0.25 today, we think it's a good dividend, and we'll take a look at it, like I said, on an annual basis.
Roger Read: Okay. Those are my questions. Thank you.
Matt Lucey: Thanks, Roger.
Operator: Our next question will come from Ryan Todd with Piper Sandler. Please go ahead.
Ryan Todd: Great. Sorry. Thanks. Maybe starting out, can you talk a little bit about what you're seeing on the West Coast? Second quarter was particularly volatile. We've seen the impact of imports and how they're impacting the market over there. What have you been seeing over there on the West Coast, and how do you think about the outlook going forward over the second half of the year?
Matt Lucey: Yes, I think there's some unique aspects in the second quarter, and you're right, it got particularly weak. I'd say, the vast driver of that was significant weakness in Asia. You had high utilization rates in PADD5 for the refineries that are still there. But it drew a lot of imports. I think if someone were to go back and look at those imports that came in, I'm not sure they ended up working out in terms of generating positive returns unto themselves. So there may be a bit more caution you have about a month's transit time, and you're buying crude, a couple months in advance of that, there's no way to hedge the basis differentials going into that trade. So it's a difficult trade to make, but your product's short and you need to draw imports. A particularly weak Asian market will lower the bar for that. What we've seen is that is Asian markets have strengthened. Utilization has come off to some degree there. And so there's a higher bar. And so we don't see the same imports coming in sort of on a forward basis that we saw on a look back over the second quarter. But to be clear, the West Coast is going to have to incent those imports, and so – but it will be a function of what the West Coast market is and what the local markets that we're drawing those imports from. And so I do think the West Coast was negatively impacted by a particularly weak Asian market in the second quarter. Paul, would you add anything?
Paul Davis: No, I think you said it perfectly.
Ryan Todd: Okay. Thanks. And maybe one follow-up on the other earlier question and comments. I mean, I think, Karen, I think you had previously said that you wanted to maintain a cash balance around $1 billion to $1.5 billion. You're now within that range. As we – I mean, depending on how the macro environment proceeds over the next few quarters, you've been willing to lean into that cash balance a little bit to help support the buyback up to this point. Will you continue to do that? Or I guess, how should we expect you to – is $1 billion to $1.5 billion still the right level to think about the cash balance that you want to maintain?
Karen Davis: Well, as you said, that is our stated range, and we've been remaining at the top end of that range, so there is room for us to comfortably go lower and still be there.
Ryan Todd: Okay, great. Thank you.
Operator: And our next question will come from Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta: Yes, thank you so much. I just want to touch back on maintenance. And Matt, as you said, it was a choppier quarter. Can you spend a little bit more time talking about lessons learned from this? And as you go forward to future periods of maintenance, what do you take forward so we get more of a steadier operation?
Matt Lucey: It’s a great question and a real driver. And look, we were three weeks late, just over three weeks late in Delaware City. That cat [ph] had a real long run to it, which was great. But we had some discovery work in that when we were in the turnaround. Toledo was a couple weeks late that was – it was some increased scope, but there was also a bit of decreased productivity there, which is, I think, going to be an industry problem. And the industry is trying to address that when you build in, when you bring in the craftsmans to building and trades, and experience level has declined a bit since COVID certainly. But these are challenges. This is what we get paid for. We must deliver our turnarounds on time. And if you don't, nothing good happens. You lose margin. You increase your capital. You increase your expenses and you lose barrels. That is a very, very bad combination of four factors. So it's completely unforgiving and unacceptable not be able to deliver our projects on time. We take great project pride in the expertise we have in-house. We are myopically focused on executing our next turnaround Chalmette, as we design it. And that will be commencing in the fall. I'm more than pleased, Mike Bukowski has joined us, and is now he's no longer the new guy. He's putting his imprint on the organization. Mike, would you add any specific comments in regards to focus around turnarounds?
Michael Bukowski: Sure. So Matt, you said it well. The alternative performance currently is not where it's been in the past and it's not didn't mean our expectations and it didn't mean it's not going to – it hasn't met our expectations that we have for going forward. The key thing for us, when you look at Delaware City, for example, that was a situation where it was discovery work. The unit wasn't talking to us. There was no indication that there was a problem. But certainly when we got in there, we had to make adjustments to our scope to make sure that we had a safe, reliable run. We are refocusing the organization on our turnaround best practices. It's not rocket science. The industry has learned how to do turnarounds well. It's just reinforcing those expectations. It's leadership and accountability out in the field.
Matt Lucey: The important thing is we did the right thing. We fixed the equipment as it should be fixed and we expect to get a good run out of the equipment. So while displeased with the extended period, I have no doubt that the turnaround, which can only be judged by the time of our next turnaround, should be a good run.
Neil Mehta: Yes. Thank you for that color and very clear. The follow-up is, you talked a little bit about the West Coast, but I'd be curious on your perspective on PADD1. And do you view the market as still a structurally short market? We've had so much capacity that's been retired out of PADD1 year over the last couple of years and you are seeing screen cracks [indiscernible] sustain at a decent premium relative to the rest of country. So your perspective on East Coast margins would be great.
Matt Lucey: I don't think anything's changed, quite honestly, if someone pays attention to the board cracks every day. I think the shortness of PADD1 is demonstrated with, generally speaking, the highest crack, certainly when compared to the Gulf Coast and Midcon. The Midcon's higher today because of some unplanned downtime that others are having. But I think over time, the structural shift in what's happened in PADD1 is bearing out crude diffs certainly impact our business. And over the quarter, there was one overriding theme over this quarter was crude was tight, utilization was very high, and so you were able to build some product inventory. And so as the quarter developed, that was a negative. The good news is, we think we're through the trough of that. Utilization is coming down sort of across the sector, as I said, for a host of reasons. Look, in the summertime, again, lose some utilization. There's been some unplanned downtime, which can be expected. The U.S. sector, running at 95%, was not going to hold. We've seen some economic run cuts outside the country, and then we're heading into – we're heading into turnaround season. So I think we may be entering a period where it's the exact opposite, where crude will be loosening and products will be tightening.
Neil Mehta: Thank you, Matt.
Operator: Our next question will come from Doug Leggate with Wolfe Research. Please go ahead.
Doug Leggate: Hey, guys. Matt, thanks for all your comments this morning. I've got two. One housekeeping for Karen, and one strategic question, I guess, for you. So you brought back, I seem to recall, I think you brought back part of the Paulsboro unit into that tightness you were talking about in the East Coast. And I'm curious, there's been a lot of chatter about run cuts here recently. Where do you guys? Where are you guys positioned across the portfolio? But on Paulsboro specifically, will it continue to run in this environment? My follow up is, Karen, I wonder if you could just clarify the working capital move in the quarter, please.
Matt Lucey: Yes, in regards to, we don't comment necessarily on specific units per se, and I think there may have been some fake news that you're referring to with Paulsboro, but Paulsboro is certainly running today. We have an E&P team at each of the refineries where we optimize all of our assets on a daily basis to maximize our business in each local market in which we operate. Karen?
Karen Davis: And with respect to working capital, it was a benefit of $300 million in the quarter, and that related almost entirely to our hydrocarbon net payable position, returning to a more normalized level. Our turnaround activities in the first quarter and part of the second quarter had tightened that considerably. And that's what created the working capital headwind that we saw in the first quarter. And during our first quarter call, we said that we expected that that would turn around as we exited our turnaround activities. And in fact, it did.
Doug Leggate: Okay, guys, that’s it for me. Thanks so much.
Operator: Our next question will come from Manav Gupta with UBS. Please go ahead.
Manav Gupta: Good morning, guys. I just wanted to understand your outlook on the global heavy-light differentials. They are narrow now, but looks like OPEC could add some volumes into year end. And then you're seeing some widening on the Canadian side, even with a lot of Canadian turnaround. So as those volumes ramp up in Canada, like, what's your outlook for heavy-light, both on the Gulf Coast as well as the Canadian heavies?
Thomas Nimbley: Thanks, Manav. It's Tom. I mean, I'd almost sort of say we agree with what you've stated. I mean, I guess the JMCC met today or met and previously has given their guidance or no guidance at this point in terms of they would need it. They would need to speak out in opposition to the return of product accrued in the fourth quarter. So the runway looks open for that. And that certainly seems to be the expectation. I think at that point, it's sort of comments that Matt made earlier in terms of we're sort of at the peak of sort of input the CDU globally on the seasonal aspect of Q3, and then come the fourth quarter with planned maintenance and then also the reintroduction just seasonally. Right. Production is higher in the fourth quarter and then the third quarter, particularly in Western Canada. And then continued growth of what we're seeing across in different aspects, whether it's in the U.S. or whether it's in non-OPEC, that there's just generally going to be a fair bit of crude available for refiners to consume. And that's our base case assumption, looking forward into the fourth and first quarters.
Manav Gupta: Perfect. My follow up a little bit on Ryan's question. The regulatory environment in California is pretty harsh, and I'm not specifically talking about your assets, but if they continue down that path, are there more refinery closures coming in the state of California? And then there's a school of thought process that maybe the government doesn't even want refineries there. They just want imported gasoline. How would you like – any thoughts on that thing?
Thomas Nimbley: A couple of things. Look, California is a funny place in that they often complain about gasoline prices being too high, but at the same time, it's a regulatory environment that constricts supply. And so you have two conflicting issues there, and it is a very difficult regulatory environment to operate in. And is it possible that there could be more refinery closures into the future? I would say, yes. Now, can California sustain itself simply on imports? They simply don't have the infrastructure in place to do it. And wishing that everyone is going to snap their finger and not travel by internal combustion engine, or not want to fly in planes, or not deliver goods and services throughout the state through trucks and other things is simply wishful thinking. The reality is PBF and the products we produce, as well as the other refiners in the state and across the country. We fuel the quality of life, meaning we provide an energy product that is affordable, reliable, deliverable, and ratable, which are incredibly important components. And simply wishing it away goes against the economic cost and the impact of people's lives every day. So there is the sort of the wishful thinking and the reality of the world, and as we exist and the quality of life we all enjoyed. So when regards to just eliminating all refineries, and importing, there's no way that the infrastructure could support such an endeavor and that would have dramatic impacts on people's lives in California.
Manav Gupta: Thank you so much.
Thomas Nimbley: Okay.
Operator: Our next question will come from Matthew Blair with TPH. Please go ahead.
Matthew Blair: Thank you, and good morning. On the refining side, Matt, you mentioned some headwinds on co-products in the second quarter. Are there any numbers you can share in terms of the impact on your capture for Q2? And could you also talk about how co-products are trending so far in the third quarter?
Matt Lucey: I'll turn that over to Paul.
Paul Davis: Well, look, on the second quarter, with all the work we had – we had just a myriad of LDPs or low value products that we built, and then we had to dispose of those. So that absolutely is a factor in your capture rates.
Matt Lucey: But across the system, Paul, asphalt materially lower than it had been.
Paul Davis: Asphalt's been impacted by tremendous amount of imports from what we see from Canada and Colombia. So the asphalt markets changed dramatically in the second quarter and going into the third quarter. On the flip side of that, lubricants markets been quite impressive in the second quarter going into the third.
Matt Lucey: So lubes have been strong, asphalt's been weak, and LPG has been weak. That's how I describe it. In regards to simply citing capture rates, we're not going to get into that prescriptive of a detail.
Matthew Blair: Okay, sounds good. And then on the renewable diesel side, I think the loss worsened a little bit in the third quarter. Did your carb pathways come through in the second quarter? And I guess, do you expect that to be a tailwind moving forward? And overall, could you just talk about your outlook for renewable diesel in the back half of the year?
Matt Lucey: Sure. So we're in the midst of a catalyst change right now, so that will impact throughputs. There's no doubt the market's been soft, softer than our expectation. I would bring you back to the one main thesis of why we got into this business as an obligated party, we get the ancillary benefit of the RINs that are manufactured there. When we take a sort of stock on the business, I would say a couple things. We've been operating for – well, let me back up before we get into operations. We've brought in a partner in Eni. I can say only good things about that partnership. It's constructed in a way where the alignment of interests are well aligned and both parties are getting benefits from each other, us being a local manufacturer and with local expertise in these markets for Eni, and Eni having a number of these plants in Europe, as well as providing full access into the European markets, and both companies are aligned in the way in which we think about the business. There's no doubt the market itself has been disappointing over the last year. Just when you isolate RD specifically, again for PBF, we do get the benefit of manufacturing the RINs and contributing to the wind supply, driving down the overall price of RINs. And as an obligated party, we get that benefit. We're doing, as I said, we've been in business for about a year, just a little over a year. And I'm actually pleased where the business is lining out in terms of our ability to operate the plant, our ability to source feedstocks and dispose of the products that we're manufacturing. So certainly there were some lessons learned, but I think in terms of operating the business and getting the best economic outcome from it, even though we're new to it, I've been pleased with that. And then in regards to the outlook going forward, we did not get into this specifically for the year 2024. It is a fledgling, markets are developing, and I think markets will continue to develop, I have no doubt. Over the long term, medium to long-term, putting aside the short term that the global markets will compensate those manufacturing renewable diesel, i.e., the cost of the carbon will incentivize the manufacturing of renewable diesel specifically for the renewable diesel manufacturers that are advantaged. And we feel like we have that with our location, our cost of natural gas, our location to feedstocks, and our ability to distribute products. And so looking ahead, we’re still constructive. It will be interesting to see how the market develops as those that are considering converting to sustainable aviation fuel and those that remain in renewable diesel. Indeed, we will and we are evaluating that as is a number of the other players. And so it’s early days, but I have no doubt, like I say, in the medium to long term, it’s going to be very constructive having our foot in the renewable diesel business.
Matthew Blair: Sounds good. Thanks for your comments.
Operator: Our next question will come from Paul Cheng with Scotiabank. Please go ahead.
Paul Cheng: Thank you. Good morning, guys. The first question I think is for Mike and Matt. When you’re looking at all your refinery around the nation, when you put them comparing to the industry, say whether they are in the second quartile or that third quartile, and you’re also saying that you’re going to say, we look at the turnaround process in trying to do a better job. So should we assume over the next several years your CapEx and turnaround cost and also that the scheduling may end up that to be longer than usual in order for you to fix perhaps some of the deficits in the past? That’s the first question.
Matt Lucey: All right. So in regards to our refineries and where they fall, I think if someone’s going to step back and do that analysis, they must break down. You can’t put all the refineries in the country and break them down in quartile. You have to put them in the markets in which they operate. And the East Coast, as we talked about before, is structurally short and it’s gotten substantially more structurally short over the last number of years. And so our assets within the PADD, I think line up very, very well quite frankly. The only refining capacity on the East Coast that has the complexity that we do to be able to process any crudes in the world. You go out to the West Coast again, these are – these plants do not compete with the lowest cost provider in the Gulf Coast, but the lowest cost provider in the Gulf Coast has impediments to get their products into these markets. Obviously, colonial is full, and the islandized market that is California has unique blends. Our assets on the West Coast, I believe, are top quartile assets. And I think we’ll be able to demonstrate that over time. Our differentiating factor at Chalmette is obviously having a renewable diesel business there. But broadly speaking, we, as a company are more bullish, our coastal refining kit going into this next cycle than the previous cycle. So I think over time, having access to waterborne crudes and having access to heavy and sour grades of crude will be more advantaged than it was the previous cycle, call it from 10 to 19. And then Toledo. Toledo has been a horse for us since the day we bought it indeed, today, as our most profitable refinery. The refinery has always been able to distinguish itself well. It doesn’t have – it doesn’t run heavy and sour grades. It has other attributes with a very high value product make, and indeed, total value products or total yield, we got more products than we put in crude and feedstocks at Toledo, which is a big advantage. Mike, do you want to talk about turnarounds?
Michael Bukowski: Yes. I think the question centered around our turnaround improvement initiative and how that will impact schedules going forward and what that will do with capital costs. The main thing that we’re seeing here, there’s no lack of maintenance on our units. It’s a question of efficiency. And that’s what it boils down to a capital efficiency in terms of how much we spend per turnaround. So it’s another way of how much work we’re getting for the dollar we spend, and also the LPO minimization by optimizing the schedule. So looking forward, as we work to do this, whether we’re second quartile, third quartile. If I’m looking at a turnaround where we’re two weeks late and was talked about before, I don’t need a benchmarking study to tell me that we’re not where we need to be. But that being said, the drive would be to focus on the things, get the same scope we’re doing now, get it done cheaper, and also doing in the timeframe that we allotted, and driving that towards a more efficient, more efficient milestone. So I wouldn’t expect us to have turnaround durations, which are longer, that they’re planned longer, because we’re really driving for efficiency. And then in terms of how, what that does to capital budgets, our expectation is that we’ll be more efficient on turnarounds, which could free up that capital for reinvestment and in return opportunities, or ever, how we want to allocate that capital, how Matt wants to allocate that.
Paul Cheng: All right. Thank you. The second question that with the TMX is up and running, I think [indiscernible] for about a quarter now. Matt, how that if any that impact on the way that how you run your West Coast operation. How much of additional Canadian heavy oil that you may be taking in your system? And that how that impacts in terms of your yield or your OpEx cost? Thank you.
Matt Lucey: So I’d answer it this way, Paul. We’re currently about 25,000 barrels a day taking off of TMX. So that is directionally positive. It’s displacing other crudes, which puts back pressure on those crudes, obviously. And by the end of the year, I would expect we’ll double that yet again. So by the time we get to early 2025, I expect we’ll be up to 50,000 barrels a day. Again, very directionally positive. And so as we buy and other refiners, we’re not a big buyer of ANS, but other refiners are in the state as they buy the Canadian grades and back out ANS. That should put some pressure on ANS which will raise the bar, quite frankly, for imports coming in, because California product market is the ANS market, and so it is all directionally positive from my perspective.
Paul Cheng: Does it impact your yield?
Matt Lucey: Does it impact our yield? Not in a substantial way. Every grade of crude is going to impact yield to a certain extent, but we run our LPs to maximize not only the cost accrued by our yield. So from your perspective out looking in, I don’t think you should expect any change in yield.
Paul Cheng: All right. Thank you.
Operator: Our next question will come from Joe Laetsch with Morgan Stanley. Please go ahead.
Joe Laetsch: Hey, good morning. Thanks for taking my questions. I wanted to ask one on the demand side. I know you talked a bit about it in the opening remarks, but would you mind just giving us an update on what you’re seeing in your system across gasoline, diesel and jet? And then also we saw the May EIA data for gasoline demand get revised higher. So any thoughts on the weekly data versus the monthly would be helpful as well. Thank you.
Matt Lucey: Yes. I mean, that’s the theme, right? And it has been for some time. That demand, you almost have to wait a couple months to see what it is. It’s a bit disappointing that we’ve gotten ourselves in this tube [ph] loop from the DOEs, but it is what it is. From our system, like I said, I say it’s okay. We haven’t seen degradation on our racks, but it’s nothing extraordinary. I do expect demand to pick up and indeed I think there’s some green shoots in regards to what demand looks like. So I wouldn’t be surprised if the second half of the year was better than the first half of the year. I described the first half of the year as okay, as May sort of blah-blah, but we’ll see where it goes from here. But we haven’t seen, we look at racks every single day and like I said, it looks okay. What I’d like to see is some growth not only in this country but in the rest of the world. And we’ve been in sort of a stagnant market for some time, so I would expect growth to pick up a bit. Paul, any other comments?
Paul Davis: I mean, no. I mean, from a rack standpoint, we’re actually up year-over-year on our racks, and in particular, gasoline on the West Coast is double digits higher than it was for us last year. That’s the PBF system that doesn’t necessarily correlate to national numbers. But from our vantage point, our demands have been pretty steady, if not climbing year-over-year.
Joe Laetsch: Thanks. It’s helpful. And then I just wanted to ask a quick question or a quick follow-up on RG [ph]. So there’s a catalyst change going on currently, and there’s another one in fourth quarter, if I remember right. Should we expect one to two catalyst changes per year going forward? Is that just related just to the startup?
Matt Lucey: Yes. There’s not one in the fourth quarter.
Joe Laetsch: Oh, sorry. I just meant the fourth quarter of 2023.
Matt Lucey: Oh, the fourth quarter of last year.
Joe Laetsch: Yes.
Matt Lucey: Yes, yes, yes, yes.
Jim Fedena: Hi, this is Jim. So, yes, the catalyst changes. There’s a guard catalyst that gets changed out generally about on an annual basis, and the isomeric catalyst gets changed out generally on a two-year cycle.
Joe Laetsch: Thank you.
Operator: And our final question will come from Jason Gabelman with TD Cowen. Please go ahead.
Jason Gabelman: Yes. Hey. Thanks. Morning. I may miss this earlier, but I just wanted to ask specifically on the East Coast margin in 2Q. It looked pretty weak, and I was wondering what specifically was going on there. If there were any one time items that are potentially going to reverse in 3Q. Just any color you could provide around that. Thanks.
Matt Lucey: I’m sorry, Jason, were you referring to the benchmark crack?
Jason Gabelman: No, the East Coast realized margin.
Matt Lucey: Yes. The big thing again, you got to go back to our East Coast to the Del City turnaround, which ran 23 days away. And that compounded itself, as they always do and always will, to the extent you have extended down period, as we did talk a little bit before. But if you correct for that, we would have exceeded expectations. And so it is as simple as that.
Jason Gabelman: Okay. Do you have a – can you quantify the lost profit opportunity?
Matt Lucey: Well, we did. I mean, across the system, we quantified it as $100 million from that extended period at Del City and Toledo, primarily. That was over two thirds of it, and Del City was the majority of that two thirds. And then there was an incremental $50 million, which was the pain from going from a stronger market into a weaker market. If we were lucky, the market would have gone the other way and we would have benefited from that, but sort of random walk of prices that went against us. So in the quarter, for corporate standpoint, you have about $100 million of LPOs, primarily driven by extended turnarounds, and about $50 million from a weakening market, by the way, which, as I mentioned in my remarks, is counterintuitive. You would have thought that the traditionally Q2 gets stronger as you go, as opposed to weaker, but such is life.
Jason Gabelman: All right. Great. Thanks for those answers.
Operator: And we have reached the end of the question-and-answer session. I will now like to turn the call over to Matt Lucey for closing remarks.
Matt Lucey: Thank you very much for your time and attention today and your continued attention going forward. We look forward to speaking to you next quarter. Have a great day.
Operator: And this concludes today’s conference, and you may disconnect your lines at this time. Thank you for your participation.